Operator: Welcome to Flushing Financial Corporation's 2018 First Quarter Earnings Conference Call. Hosting the call today are John Buran, President and Chief Executive Officer; and Susan Cullen, Senior Executive Vice President, Treasurer and Chief Financial Officer. Today's call is being recorded. [Operator Instructions] A copy of the first quarter earnings release and slide presentation that the Company will be referencing today are available on its Investor Relations website at www.flushingbank.com. Before beginning, the Company would like to remind you that discussions during this call contain forward-looking statements made under the safe harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995. Such statements are subject to risks, uncertainties and other factors that may cause actual results to differ materially from those contained in any such statements. Such factors are included in our filings with the U.S. Securities and Exchange Commission. Flushing Financial Corporation does not undertake any obligation to update any forward-looking statements, except as required under applicable law. During this call, references to several non-GAAP financial measures as supplemental measures to review and assess operating performance will be made. These non-GAAP financial measures are not intended to be considered in isolation or as a substitute for the financial information prepared and presented in accordance with U.S. GAAP. For any information about these non-GAAP measures and reconciliation to GAAP measures, please refer to the earnings release. I'd now like to introduce John Buran, President and Chief Executive Officer, who will provide an overview of the strategy and results.
John Buran: Thank you. Good morning everyone, and welcome to our first quarter 2018 earnings call. Today we hope to provide you with additional insight into our business strategy, consistent positive earnings power, and sustainable competitive advantage as part of our continuing effort to increase financial transparency and investor engagement. Our brand message on the cover of the earnings deck, small enough to know you, large enough to help you, encapsulates our vision to be the preeminent community bank in our multicultural market. We create value and attract new customers by delivering a superior and consistent experience through innovative quality service and personalized attention as we continue to execute and deliver profitable growth. Today, I'll start with our first quarter highlights, followed by a brief overview of the strategies that we're successfully executing to create long-term shareholder value. Then Susan Cullen, our CFO, will review our financial performance in greater detail. Susan and I will address your questions at the end of our prepared remarks as time permits. Starting on Slide 3. As announced in yesterday's press release, first quarter GAAP diluted EPS was $0.39, and core diluted EPS was $0.37. You will recall, that our Company has seasonally higher expenditures in the first quarter of the year due to certain stock compensation plans and the resulting taxes. However, if we normalize these expenses and exclude the loss on sale of one loan core diluted EPS was $0.47. Net interest income was $42.6 million, down quarter-over-quarter and year-over-year due to net interest margin pressure driven by higher funding costs due to the increased competition for deposits in this rising rate environment. While, we expect the pressures on deposit pricing to remain a drag, we do see positive trends emerging specifically in new loan yields, the timely repricing of our growing C&I portfolio, the slower but positive repricing of our commercial real estate portfolio, and the increasingly positive impact of hedges that we placed on both sides of the balance sheet. Importantly, our core business is strong, as we saw a loan growth of 10.5% annualized and 6.9% year-over-year, while holding on to strong underwriting standards. Expansion of loan yields with solid loan growth remains a focus for us. The pipeline remains strong and supports our expectation of high-single low-double digit loan growth in 2018. The pace of growth of deposits outpaced the growth of the loan portfolio, reducing the loan-to-deposit ratio to 113%. The government deposits significantly contributed to the deposit growth. We remain focused on expense control and delivering an efficiency ratio in the low-to-mid 50's over the long-term. We continue to benefit from our strategy of focusing our origination efforts on a higher yielding loan mix. Loan originations for the quarter totaled $342 million, with a yield of 4.27%, 42 basis points higher than the comparable prior year period and 12 basis points greater than the linked quarter. C&I originations for the quarter were a record $141 million or over 40% of total production. For the third consecutive quarter, the yield on loan originations exceeded the net quarterly yield on the loan portfolio. The combined effect of increases in loan yields and strategic repricing of the portfolio at higher rates continues to partially mitigate net interest margin compression. We are improving overall expense scalability and efficiency by converting our branches to Universal Banker model, which provides our customers with cutting edge technology including state-of-the-art ATM's and a higher quality service experience. We remain on track to complete all branch conversions in 2019 and continue to anticipate savings of 20% in compensation costs at the Universal Banker branches. During the first quarter, we completed renovation and conversion of two additional branches to the Universal Banker model, bringing the total number of branches with Video Banker services to 11. The conversion to the Universal Banker model allows our staff to focus on building customer relationships resulting in improved sales and deposit growth. With Video Banker customers have the access to a live representative from 7:00 a.m. to 11:00 p.m. seven days a week via video link. We commenced the marketing campaign entitled, Win Flushing with a focus on increasing our deposit market share in Flushing Queens, which is a $16 billion market for deposits. Our goal is to increase our share by 1% or $160 million by the first quarter of 2019. Through the first quarter of 2018, we successfully captured over $50 million dollars in deposits growth. So we're making good progress. Last week we announced, we leased a new Chinatown branch on the corner of Mott and Canal in New York City. This new full service location is planned to open in the fall of 2018 and will showcase our Universal Banker model with our unique Video Banker services. We have a longstanding relationship with the Asian community beginning with our roots in Flushing New York. Our employees speak the Cantonese, or Mandarin dialects prevalent in the Chinese markets we serve. This Chinatown location, will allow us to build upon our commitment to serve the Asian community living and working in this area. These efforts among others contributed to controlling expenses. As a reminder, the first quarter includes the impact of annual grants of employees and director restricted stock unit awards. As a result, the efficiency ratio was seasonally elevated at 69% increasing from 55% in the prior quarter. Credit quality on our portfolio remains pristine. At the end of the first quarter, non-performing loans were just 31 basis points of gross loans and non-performing assets were only 27 basis points of total assets. Given the low loan-to-value associated with the non-performing loans of just 37%. We do not foresee an increase in related expenses. For those new to our story Slide 4, provides a summary of our key focus areas, which remain consistent exceeding customer expectations, enhancing earnings power, strengthening our commercial bank balance sheet and maintaining our strong risk management philosophy. Our sustainable competitive advantages include having a multilingual brand staff to serve our customers in the New York City Metro Area one of the most ethnically diverse regions in the country. We have a strong focus on the Asian community, where we have over $550 million in deposits. These deposits have a lower cost of funds than our total cost of funds. As many of you already know, the Asian markets surrounding the Flushing branches have very attractive business dynamics. There's a high degree of savings available deposits and a significant number of small business owners. Our Win Flushing campaign is focused on further capitalizing on this business environment through market knowledge and understanding of customer needs. Overall, we remain a preeminent commercial real estate lender focused on the origination of multifamily mortgage commercial business and commercial real estate loans, which comprised 86% of originations and purchases in the first quarter while we remain nimble and responsive to industry shifts. Combined with our customer focus and competitive strength as a relationship oriented lender has enabled us to transform formerly transactional based customers into deeper long-term full banking relationships. Our disciplined risk management philosophy, has proven to serve us well throughout all phases of the credit cycle. The loan-to-value on current quarter originations of multifamily commercial real estate, and one to four family mixed use loans was 48% with a debt coverage ratio of 171%. Our conservative underwriting standards, loan loss reserves, minimal delinquencies and low LTV's give us confidence that net charge offs will remain below industry averages over the long-term. Our strong balance sheet liquidity, capital levels, ability to grow core deposits investments in talent innovation, technology and cybersecurity, as well as our risk management philosophy all position the Company very well to deliver profitable growth and long-term value to our shareholders as we continue to execute on our strategic objectives, which are outlined on Slide 5: Increase core deposits and continue to improve funding mix, increase net interest income by leveraging loan pricing opportunities, enhance core earnings power by improving scalability and efficiency, manage credit risk, and to remain well-capitalized under all stress test scenarios. We continue to focus on these strategic objectives to achieve profitable growth and maximize shareholder value. As previously, announced we have shared a portion of the tax benefits from the Tax Reform Act with our non-executive employees in the form of one-time bonuses and our shareholders in the form of the 11% increase in our quarterly dividend. As you may already know, we have consistently raised our dividend in the first quarter of each year since 2014, and have paid a dividend every quarter since September 1996. We continue to evaluate opportunities to invest additional tax savings into the business to position the Company for future growth. Additionally, the Board of Directors authorized a new share repurchase program of a million shares with no dollar or time limitations. We remain well capitalized and positioned to deliver profitable growth and long-term value to our shareholders as we continue to execute our strategic objectives. At this point, I’ll turn the call over to Susan to discuss the quarter's financial results in greater detail.
Susan Cullen: Thank you John, I'll start on Slide 6. Total loans were $5.3 billion up 2.6% quarter-over-quarter or 10.5% annualized and up 6.9% from the first quarter of 2017 as we continue to focus on the origination of multi-family, commercial real estate and commercial business loans with full banking relationship. We continue to diversify our loan portfolio as C&I originations total $141 million for the quarter were over 40% of total originations. Over the last four quarters our C&I origination purchases have averaged approximately 35% of quarterly loan production resulting a commercial balances growing over 20% during the same period to approximately 15% of the gross loan portfolio at March 31, 2018. The growth in the C&I portfolio offer several advantages to our company primarily continue diversifications in loan portfolio and as these are primarily adjustable-rate loans, the yield offer some protection and a rising rate environment. Overall, the total loan growth is on pace to meet our annual expectations of high single to low double-digit loan growth, while we continue emphasize rate over volume. At March 31, our loan pipeline was strong and totaled $326 million, which is down from the last quarter but up from a year ago. The interest rate on the real estate loans in the pipeline increased to 4.41% from an average rate of 4.10% for linked quarter. The loan-to-value ratio on a real estate portfolio at quarter end remains a modest 39%. Slide 7 depicts the composition of our funding mix. As funding has continued to grow, the percentage related to CDs and borrowings has decreased. However, when the need arises to access the wholesale funding market, there are advantages as we can ladder out the liabilities for longer terms, where the consumer does not want to tie up money for much longer than 18 months. On Slide 8, deposits increased nearly 7% year-over-year and quarter-over-quarter. Year-over-year growth was primarily driven by money market CDs and non-interest-bearing accounts. We continue to increase core deposits as represented by the year-over-year growth with an emphasis on non-interest-bearing deposit accounts which increased 10% year-over-year. Non-interest-bearing deposits of $378 million represent 8% of total deposits. We continue to see rate pressure with increased competition for deposits. The average cost of funds increased 10 basis points during the quarter. We continue to remain disciplined in terms of deposit pricing while remaining competitive within our market. Turning to Slide 9. Net interest income for the first quarter of 2018 was $42.6 million, down 1.8% year-over-year and 1% quarter-over-quarter. The net interest margin at 2.79% decreased 16 basis points year-over-year, and 11 basis points quarter-over-quarter. Excluding prepayment penalty income and recovered interest from delinquent loans, the net interest margin at 2.72%, declined 13 basis points year-over-year and 5 basis points quarter-over-quarter. Our overall cost of funds for the quarter was 1.27%, an increase of 26 basis points year-over-year and 10 basis points quarter-over-quarter, driven by an increase in the rates paid on money markets and CDs. In order to partially mitigate the increase in the cost of funds we have taken the following steps. Entered into approximately $400 million of forward swaps using Federal Home Loan Bank borrowings which we believe will be beneficial to net income. Loan originations have increased 12 basis points from linked quarter and 42 basis points from the first quarter 2017. Our originations of commercial business loans which are primarily adjustable rate loans, totaled over 40% of the current quarter’s originations and now comprise 15% of the loan portfolio. For the third consecutive quarter, the yield on loan originations have exceeded the quarterly yields on the portfolio, net of prepayment penalties and recovered interest from delinquent loans. The loan swaps provided a minimal effect on the net interest margin in the current period but we believe these swaps will enhance earnings as rates continue to rise. We actively manage funding costs and continue to evaluate strategies to mitigate our liability sense of the balance sheet. While net interest margin will likely remain pressured we will continue to focus on driving net interest income by executing on the outlined steps, coupled with leveraging loan pricing opportunities and portfolio mix. On Slide 11, we reported noninterest income for the first quarter of 2018 of $3.2 million while core noninterest income was $2.5 million. The core noninterest income excludes the gains on life insurance proceeds and loss on fair value adjustments. Core noninterest income declined year-over-year was driven partly by net loss of $300,000 on the sale of one commercial delinquent loan, which we believe will continue to deteriorate so we sees the opportunity to sell and maintain our strong credit quality. Moving to Slide 12, we have seasonality in our noninterest expense. The first quarter of 2018 included impact of annual grants of employee and director restricted stock unit awards; and the effects of the non-executive bonuses granted because of the Tax Reform Act. Restricted stock expense totaled $3.5 million in the first quarter of 2018, compared to $3.3 million in first quarter of 2017 and approximately $1 million in the fourth quarter of 2017. There are approximately $3.8 million of compensation and other non-recurring consulting expenses in the first quarter that will not be included in the remainder of the year's run rate. With lower expected quarterly expense for the remainder of the year, we anticipate 2018 annual expenses to increase approximately 3% to 5% from the 2017. Overall, the efficiency ratio was 69% in the first quarter of 2018, compared to 55% in the fourth quarter of 2017 and 64% in the first quarter of 2017. As John previously mentioned, our long-term goals to maintain an efficiency ratio in the low to mid-50s, we remain focused on continuous improvement and new opportunities in our operations for efficiency gains. Regarding taxes, we anticipate effective tax rate to be approximately 22% to 25% for 2018. Now turning to credit quality on Slide 13. Our credit metrics remained excellent this quarter. As a reminder, we are historical seller of non-performing credits and record charge-offs early in the delinquency process. The average loan-to-value of our non-performing real estate loans is only 37% based upon the value of the underlying collateral at origination, and we did not adjust the appraised values for increases. The loan-to-value should be conservative based upon this methodology. Non-performing loans totaled $16.6 million, down 10% year-over-year and 8% quarter-over-quarter, as credit quality remains one of our core strengths. Slide 14 highlights the effects of our strong underwriting discipline with our history of minimal 90-day delinquencies as a percentage of loans originated by year. As you can see, there are only three loans delinquent greater than 90 days for the vintage years after 2009. Moving to Slide 15. Our coverage ratio of over 123% has been increasing year-over-year due to improving credit quality and our reserve building. The allowance to gross loans remains flat at 39 basis points. We recorded provision for the loan losses of $0.2 million in the first quarter of 2018 due to the growth in loan portfolio. Net recoveries of $38,000 for the first quarter of 2018, offset a portion of the allowance that would have been required, given our loan growth. With expected loan growth we continue to anticipate recording provision for loan losses proportionate with that growth in future quarters to maintain an adequate ratio. As always, we monitor our credit quality very closely to ensure that we have an appropriate loan loss reserve. With that, I'll turn it back to John for some more closing comments.
John Buran: Thank you, Susan. Wrapping up, Slide 16 provides a summary of why we believe we remain well positioned for continued strategic and profitable growth. To reiterate, our vision is to be the preeminent community financial services company in our multicultural market area by exceeding customer expectations and leveraging our strong banking relationships. The New York City market and strong agent customer base in Flushing continues to represent a significant opportunity for us. We remain focused on providing a superior and consistent experience at every touch point for our customers and maximizing shareholder value. Those of you that have held our stock for over the last five years know that our total shareholder return has been 84%. And since our IPO in 1995, total shareholder return has been 1073%. In conclusion, we have a strong foundation with attractive markets and customers, a proven track record and a seasoned leadership team to execute our strategy with a commitment to drive continued profitable growth. We will now take questions as time permits. Operator, I'll turn it over to you.
Operator: Thank you. Ladies and gentlemen, we will now begin the question-and-answer session. [Operator Instructions] Our first question comes from Mark Fitzgibbon with Sandler O'Neill. Please go ahead.
Mark Fitzgibbon: Good morning.
John Buran: Hello, Mark.
Susan Cullen: Good morning.
Mark Fitzgibbon: Susan, I wondered if you could share with us your outlook for the net interest margin and whether or not that assumes any rate hikes for the remainder of the year?
Susan Cullen: We bottled out the net interest margin for the remainder of the year assuming four rate hikes during the year. And we do see continued decline of the net interest margin of somewhere between 5 and 10 basis points.
Mark Fitzgibbon: 5 and 10 per quarter?
Susan Cullen: No, in total by the end of the year.
Mark Fitzgibbon: Got you. Okay.
Susan Cullen: I'm sorry.
Mark Fitzgibbon: No problem. And I'm curious if you think with multifamily rates hitting sort of the 4% level on five year product, whether you think that will trigger some more prepayment activity?
John Buran: We think we will see a little bit more, although frankly, we've been concentrating on diversifying the portfolio more. So we think that there's more – there are more opportunities both in the commercial real estate and also in the C&I business going forward for us. So while multifamily will continue to be an important area for us, where we’d like to diversify the portfolio even more so.
Mark Fitzgibbon: Okay. And then I wondered if you could share with us your expectations for loans and deposits in that New Chinatown location, maybe over the next year. And what level of loans and deposits it will take to get to sort of breakeven level?
John Buran: So we usually think of somewhere around $50 million and – for one of our branches. And I expect we can be there in two years.
Mark Fitzgibbon: Thank you.
John Buran: Just one more comment about the loan area, the multifamily and the commercial real estate are obviously all five-year resets. So on a continuing basis as rates have risen we are seeing more and more loans rollover and more favorable rates, so we have that ongoing process taking place within the portfolio.
Mark Fitzgibbon: Thank you.
Operator: The next question comes from Steven Comery with Gabelli. Please go ahead.
Steven Comery: Hey, guys, thanks for taking my question.
John Buran: Hey, Steve.
Steven Comery: Just want to ask about the construction portfolio real quick it was up materially in the quarter, I know before we talked about this, this is a while ago you guys kind of said, you weren’t really thinking you're getting paid for that risk in that portfolio outside of renovations, there's anything change there that makes you guys more interested in that sector?
John Buran: Not really, we still think it's going to be a very small proportion of the overall portfolio which – its less than 16 basis points of the total portfolio at this point in time. We may see a little bit of growth opportunistically but it's not a major area of focus for us.
Steven Comery: Okay. Yes, I figured as much. And then kind of you guys had talked about efficiency ratio goals of low to mid-50s over the long-term. I mean, how should we interpret that? Is that sort of over the next couple years and do you have any sort of target for 2018 or should we think about that sort of timeline.
John Buran: So I think a part of what's going on with respect to our efficiency ratio was really happening on the net interest margin side. So as we see these trends, the loan portfolio of repricing, the increases taking place in the C&I portfolio consistent with rate increases. We expect to see a leveling out of the NIM pressures. So based upon that and then based upon the actions that we're taking with respect to defraying future costs in our branch network. Over time, we expect that we'll be able to bring down the efficiency ratio.
Steven Comery: Okay. And then just on the noninterest expense guidance, its 3% to 5% above the 2017 levels. I think I was expecting a little less than that based on sort of the Q1 comments. I mean there are Q4 comments. Has anything changed there in your guys expectorations?
Susan Cullen: No, the biggest component of our non-G&A, G&A is salaries and those raises have been about 30% so that's what's driving that for the most part.
Steven Comery: Okay. So does that sort of the main delta there, the salary increase you guys had announced?
John Buran: Yes. Okay, all right. Sounds good. Thanks.
Susan Cullen: Thank you.
Operator: The next question comes from Gilbert Collyn with KBW. Please go ahead.
Collyn Gilbert: Good morning, guys.
Susan Cullen: Good morning, Collyn.
John Buran: Good morning, Collyn.
Collyn Gilbert: Anyway, just that question on the NIM, so the downsize to 10, Susan that you mentioned that’s I’m assuming from this from the first quarter level or is that from the fourth?
Susan Cullen: Yes.
Collyn Gilbert: Okay, okay. And then just tying that into NII, is the expectation I mean the narrative around what you’ve been doing in mix shifting the loan book and better loan yields coming on. I guess I would have thought that the loan yield – we’d start to see that in fact higher, right. It seems like it’s still under pressure. What’s just the dynamic there maybe it’s a mix. I know that, that leads some of that, but even so when you – what you’re describing kind of it’s the blended yield. So curious about that and then also to just how you’re thinking about just net interest income dollars in general. I know they’ve been under pressure now for the last few quarters. Do you expect the dollars to inflect higher at some point this year?
John Buran: Yes. I think toward the end of the year, we should start to see some movement there. We continue to have – there is a couple of things going on. First of the – we have $200 million by closed about $300 million of loans that on swaps. So they provide some protection. A good proportion of our $700 million C&I portfolio provide some protection. And then the loans re-pricing about somewhere around about 20% the year reprice. I think the wild card for us in this particular quarter was the prepayment penalties. They were significantly lower than they had been in the past. So I think depending upon how they come in. This is natural progression of increasing yields on the portfolio. And you can see that in the increases that you see in the pipeline and then the year-over-year increases in the origination activity. So again three consecutive quarters we had the loans exceed, the origination yields exceed the portfolio yield. So we continue to see that upward pressure on those yields. And I think toward the end of the year a little accelerate.
Collyn Gilbert: Okay, okay. And I know I’m not so asking for guidance in 2019, but John just given your comments kind of what you just said and what you said before. I mean is the expectation that then there really start – should start to be higher NIM coming in, in 2019.
John Buran: So I think that’s going to depend upon the activity at the Fed. We’re still liability sensitive obviously. But as I said the underlying trends for us, on the loan side will continue to accelerate. So I think it’s a matter of the – let see the quickness of movement on the Fed versus what we know is pretty well established in terms of movement on the loan portfolio. So I know that’s helpful to you.
Collyn Gilbert: Okay, okay. Yes, that’s good. And then just on you – as you said you guys are seeing some really good loan growth, really good loan demand. Where is that coming from? I mean I presume obviously some of it’s being taken by competitors, because these are new customers coming into the bank. But where are you seeing the opportunity to be able to grow loans at the rate you guys are?
John Buran: Well. I think it’s the key focus is our diversification. So it gives us opportunities. So in this particular quarter, we didn’t have a large participation in the multifamily. But made up for with the commercial real estate and C&I, so I think the ability to diversify and to – there is very, very good economic activity going on in the New York area. And we’re still very, very small proportion of that economic activity. So we’re just beneficiaries of it. We’ve got some new loan officers coming on board in the C&I area. Last year we mentioned that we went into the equipment finance – we went into the commitment finance business. So we pick up a little bit more there. So I think its discontinued diversification, continued focus on the C&I portfolio. And then leveraging opportunities both in commercial real estate and in multifamily as they as they become available to us. So I think what gives us our strength is that we do have the ability to build loan volume in several different product types, which enabled us to – which is enabled us to really get good loan growth and just about every year, every quarter. The other areas that starting to comeback for us is our mixed use area, which we had deemphasized for quite some time. Now, that is starting to come onboard with some additional volumes. And I would emphasize that that these products that we’re talking about mixed use, C&I. and even commercial real estate, all have premiums, either premiums or interest rate protection versus the multifamily space, which is still price pretty, pretty competitively in general. Although, we’re doing our multi-family over with a four handle now.
Collyn Gilbert: Okay. Okay, that’s helpful. And Susan, I appreciate the guidance you gave on the expenses. Can you just give perhaps some similar outlook or color on where you think non-interest will go.
Susan Cullen: I would think our non-interest income is going to be pretty flat compared to what it was last year, market being equally flowing through our core – I’m going to talk about core non-interest income, because the fair value adjustments and unfortunately if we have gains on life insurance we can’t control that. So we have no new initiatives to play on any fee income, so we would expect it to be very consistent with what you’ve seen in the prior years.
Collyn Gilbert: Okay. Okay, that’s helpful. And then just one last question on the accelerated premium amortization I think on CLOs there were something that you would indicate in the press release. What was that specifically that happened in the quarter.
Susan Cullen: It’s the comparison of the fourth quarter to the first quarter. In the fourth quarter we had some CLOs call that had some premium associated with them and that was recognized to interest income. And obviously that’s out there.
Collyn Gilbert: Okay. And I’m sorry, what was the dollar amount tied to that?
Susan Cullen: I don’t have that in front of me, right this minute Collyn for that one CLO.
Collyn Gilbert: Okay. With it, I mean, I know you mentioned it both with prepay and this. I presume prepay was the bigger contributor than this.
Susan Cullen: And as John mentioned, our prepayments were down for the fourth quarter of 2017 by about $0.5 million.
Collyn Gilbert: Okay, okay. All right. I will leave it there. Thank you.
Susan Cullen: Thank you.
Operator: [Operator Instructions] The next question comes from Matthew Breese with Piper Jaffray. Please go ahead.
Matthew Breese: Good morning, everybody.
Susan Cullen: Good morning, Matt.
Matthew Breese: I was hoping to just get some big picture and high level commentary. Deposit competition and deposit betas versus loan yields and loan betas in your market. And why there might be some mismatch and what are the drivers behind that.
John Buran: I think the basic is a flat yield curve. So I think that’s the core issue. Now the fact that the ten year just moved to 3% that augers fairly well for us. But let’s face it we’re talking about a – I don’t know, 50 some odd basis point differential in the two to 10. So, I think that is driving a lot of what we’re seeing in terms of pricing particularly in the multifamily space. In terms of betas in the market on the deposit side, I think they are heating up a little bit as we’ve seen some pressure. Although I think that the – it’s not irrational pricing but it’s clearly more competitive than it was last year on the deposit side. And I think we still see a couple of banks that are out there that are pricing their multi-family with a three handle. But I think with this latest move from the Fed – the upcoming move from the Fed and the fact that the 10 year went to 3% I think should really start to give everybody pause in that regard. So my expectation is that we’ll see some positive movement in loan yields due to that interest rate movement on the longer end of the curve.
Matthew Breese: Understood. Do you think any of the lack of movement to date on the multi-family side is due to tax reform benefits being priced away?
John Buran: No, I don’t really think so. I think it’s a flat yield curve. I think it’s a flat yield curve, I think a lot of relatively new entrants into the market. But I see two trends, first of all the yield trend that I think is positive. And then we have two competitors out there; one has decided to not grow that particular multi-family. And there’s one that’s trying to stay below the $50 billion mark. So that helps a little bit as well. So that combined with some movement on the longer end of the yield curve might open that market up a little bit, might cause us to be a little bit more – to do a little bit more in multi-family in the coming quarters. But then again, we have other opportunities that to date have been better.
Matthew Breese: Right. Okay. And just switching gears to capital management. Any sort of desire to continue repurchasing stock. Do you think we should sort of modeling that in a little bit at current levels more consistent share repurchases.
Susan Cullen: We’re an opportunistic repurchase of shares. So we will look at as the market moves. Again, we look at relation to our tangible book value and make decisions from there. Obviously when it comes to capital, our first choice is to redeploy into the business and grow our net interest earning assets.
Matthew Breese: Got it. Okay. That’s all I have. Thank you.
Susan Cullen: Thank you.
Operator: This concludes our question-and-answer session. I will like to turn the conference back over to John Buran for any closing remarks.
John Buran: Well, thank you very much. I want to thank everybody for joining us today on our first quarter 2018 earnings call. I appreciate your support of Flushing Financial Corporation. We look forward to talking to you again next quarter. Thank you.
Susan Cullen: Thank you.
Operator: The conference is now concluded. Thank you for attending today’s presentation. You may now disconnect.